Michael Buchbauer: Good morning to everybody. Welcome to the Andritz Conference Call for the Q2 ‘22 Results. I hope all of you are safe and well. Before we start the presentation, I would like to give you some rules and procedures about this call. In order to ensure a smooth call, I would like to mute your microphones and switch off your cameras. After the presentation, you will have the opportunity to ask questions at the Q&A session. For this purpose, please use the raise hand function of your MS Teams application or just send me an email. I also have to inform you that this call is recorded, we will basically post the possibility to review or rehear this call after the words we have in every link in our website. And all the presentation slides are also available on our website. So – so much about the basics. And now let’s start the presentation. I would like to hand over to Joachim Schonbeck, who will guide you through the presentation. Joachim, please go ahead. Please unmute your microphone.
Joachim Schonbeck: Good morning, everybody. So before we go to the figures, maybe some general comments from my side regarding the second quarter, which as you probably all know, might have been one of the more challenging ones in terms of geo-economical and the geo-political conditions. We had the full impact of the Russian invasion in Ukraine. Going along with the sanctions, I think last week or two weeks ago, the 7’s [sic – G-7] sanction package has been published by the EU. We saw price hikes and inflation like we have – we have not seen since years or decades. China lockdown with COVID looming energy crisis in Europe. Still severe supply chain disruptions and a general economic slowdown was, I would say, we had some – some headwinds through this general environment. I think we, despite that, did quite well in the – in the second quarter. We address the challenges waiting for us. We realigned our Russian business in compliance with the Sanctions on the one side and also with, I would say, to the revised business outlook on the other side, need to and did rearrange our supply chains and cost positions, and as well as we prepared our own operations for potential gas shortage in the EU. So from that point of view, I think we made – made our homework. The business developed despite these challenges very favorably on the order intake, we could record the third quarter in a row with the order intake more than EUR 2 billion saints in the EBITA are strongly up across all business areas and despite, I would say, the economic slowdown we see a still stable outlook in the markets we are working in. Michael, if we continue with – with the slides, maybe you go to Slide number 3. So, order intake EUR 2.2 billion – billion, it’s across all business areas, I would say Pulp & Paper, quite solid development. Metals up second quarter mainly driven by Schuler could book a major press line which is always providing good and solid business. Hydro definitely continuing a strong upward trend or awarded a very important pump storage plant order in India. And overall, the order backlog is at record high at – EUR 9.9 billion. The Group revenue increased to EUR 1.8 billion, strongly up 17% against the Q2 ‘21. And it’s all 4 business areas with significant quarter-to-quarter increases. EBITA at EUR 151 million with a margin at 8.4% reported that’s also related to all business areas. Profitability quite high. A good increases in Hydro and Separation and also Metals continues the upward trend, which is quite which is good. Next slide, please. Next one. If you look – if you look a bit more into the details, you can see first – first half compared to first half ‘21, order intake increased by 32%. Quarter-on-quarter, the increase is between 12% in Pulp & Paper, already at a – at a very high level, 18% in Metals, 24% in Hydro, 22% in Separation. If we look to the regional distribution, Europe, North America basically remains roughly at 60 – at 60% emerging markets a bit below at the 42%. Next slide, please. The revenue increased by – by 10%, we can say maybe only by 10% definitely impacted by – by the recent challenges we have in the – we have in the supply chain even though as you see on a quarter-to-quarter and also on a half year basis, all business areas developed quite – quite favorably. Pulp & Paper were up 15%, Metals was up 17%, Hydro 22% and Separation, plus 13%. Overall, the split between Capital and Service businesses at 60, 40 and remains roughly stable compared to the last – compared to the last year. Next slide, please. Michael?
Michael Buchbauer: Yeah. I already switched, so I can see it on my screen.
Joachim Schonbeck: Okay. Okay, now it’s – now it’s, sorry I was – I also see it – see it on my screen. So, as you can see the split of business between Capital and Service in all 4 areas remains quite stable. Long - long-term trend still growing on a short-term year-on-year rather stable, but it’s - I think it’s solid development as you know from the previous years’ Metal is – is a bit behind and we are working actively increasing that as well. Going to the next slide, please. Michael, you can see it already –
Michael Buchbauer: Yeah, sure. Yeah I already switched maybe – maybe it would be late.
Joachim Schonbeck: Okay, maybe – maybe my – I’m on the wrong side of the world at the moment for this call.
Michael Buchbauer: It’s about the backlog.
Joachim Schonbeck: Yeah, okay. I mean, if you can see, that’s fine. Backlog is at record high EUR 9.9 billion, as usual backlog is dominated by Pulp & Paper and Hydro, which represent approximately three – three quarters of the – of the total backlog. And here, I think it would be, it’s good to understand that the impact of the Russian Sanctions on the one side and also the price hikes and inflation on the material side in the backlog have been taken care of in the – in the second quarter. So, backlog has been – has been adjusted by taking out the – the Russian projects, which according to the Sanctions could not be executed any more. So, if we go to the – to the earnings, very favorable development I could say across all – across all business areas, we have an increase in reported EBITA and EBITA margin of plus 15% to EUR 273 million in the first half of the year, the adjusted – the adjusted EBITA – the adjusted EBITA is at 200 – EUR 270 million. If we look to the – to the business areas, in itself, the Pulp & Paper quite stable with a – with a slight – with a slight decrease in – in profitability that’s related to the revenue mix we had in the – in the second quarter Separation. Nicely up Hydro on a, I would say, on a good – on a good trend and Separation with a strong – strong improvement compared with last year. Next slide, please. I will hand over to Norbert, our – our CFO, who will explain you the net income bridge in more detail –
Norbert Nettesheim: Yeah, ladies and gentlemen – good morning, ladies and gentlemen. As always, I have the pleasure to present you good numbers on the financial side. I’m going quickly through net income, cash flow and liquidity. The picture more or less is the same as the first quarter relatively you know with a – with a good EBITDA nearly at 11%. We have now depreciation slightly higher than in the first – as in the first half of last year. We took care for some – for some assets which we don’t really need anymore. So there’s an extraordinary write-off included of about EUR 6 million, this - this is an increase compared to last year’s. But still on normal level. Same for amortization, here we have this EUR 60 million sitting having impact every year and this is just half of it, a little bit changed due to exchange rate effects leads to an EBIT of 7.3%, financial results also put in normal, slightly positive equity results improving pure interest results from now nearly – nearly turn out not positive out of the interest income, the sizing interest level – and then due to the rising interest level some negative valuation effects on our financial papers which we have with fixed interests – interest rates. So, 18.4% financial result, same level as last year and quoted in the range. What has been expected gets a 6.7% EBT and then deducted by the expected tax rate of 26% gives this EUR 163 million net income, a significant increase of more than EUR 30 million compared to last year and nearly approaching our targets of 5% which we have communicated in the last Capital Market Day. Some remarks below, that we’ll see iron is still very favorable due to the exchange rate situation leads to a total result of nearly 300 and the equity portion of 20.4%, which is also well above our – at our expected rate of above 20. So that’s about net income. The next page is cash flow. You also could nearly copy the first quarter page, simply adding and doubling the numbers, that which from the net income to the cost cash flow is simple arithmetic, taking everything out what is not cash relevant that comes from net income to a cost cash flow of EUR 282 million. And then, the real cash flow drive us, which we have this development of working capital, and now we look to our first half year is very fairly favorable working capital development, mostly driven as you see in the comments below by the increase of prepayments on our major orders. So, EUR 436 million increase in contract liabilities is purely the effect of the – of the high order intake in the first quarter. So and that then goes through to cash flow from operating activities of more than EUR 400 million, maybe only marked to the income taxes paid, which are higher than the income taxes in our P&L, this is purely timing effect. So we will see that this comes nearer over the time. Excuse me, and that you also see there may be at lower numbers in future quarters which are nearer to the 26%, 27%, which we want to happen in the tax area. So and then, spendings of – for capital expenditure or CapEx, EUR 80 million that’s increased compared to previous years. This is more or less due to the fact that during the first COVID here, this COVID recession, we pushed a little bit the brakes on approvals of CapEx we released it now in the last year, and we see it now really in the balance sheet. But this 100 – this EUR 80 million is roughly in the range of our normal depreciations of EUR 89 million. So we are here more or less back to the – to the normal. And in total, we see that the free cash flow of EUR 330 million and taking off what we have paid in the first quarter for dividends, for buyback of own shares and some positive effects from the sale of assets you see then in the next page, the development of our net liquidity, EUR 200 million increase in the first half year after payment of the dividends and after repayment of EUR 75 million of debts received an authorization of EUR 25 million increase in gross liquidity. So, very solid liquidity situation, which gives us more room for acting, whatever you can imagine. All right, that’s on the financials. And now we have, as always – sorry, I have one this one page is summary page, so excuse me. Yeah, I think this is more or less a summary of what has been said. You see that I think you should look at the picture of the plus/minus, that is – it’s unbelievable [inaudible] unbelievable view that all numbers are developing very well and increased nearly everywhere, double-digit. Yeah that is the individual topics I have mentioned, maybe yeah nothing to point out in addition on – on that page. If we then go to the divisions to the business areas quickly. This is also more or less a summary of what Joachim already has told you about when we went through the individual lines. So I don’t want to repeat and simply want to save time also for your questions. For Paper, in total, the only thing what maybe a hint to be pointed out is that, an increase of Pulp business slightly lower than the increase of sales. This is as always, as you know, driven by the project mix we saw in this first half here. We have the entire content of the mega projects in execution, which usually have a slightly lower margin than the smaller projects, but also here very important is absolute increase of the profitability in the Pulp & Paper. So that’s for Pulp & Paper. And then you see Metals at the next page. Here also everything develops very well. Here I wanted to point out once again in the line EBITA margin now at 4.3% and our recovery in Schuler goes according to our plan, having Metals now over 4% and hoping that it’ll continue that way, but we are very confident that our restructuring there was successful and that now is increasing order intake, you also will see further on improving results in – in the Metals business. So we got to Hydro, next page. Joachim pointed out very favorable order entry. And also for the – for the future, we are really confident that we will see something more in the current year. Here we have this issue which you might have seen in this regard to EBITA margin 7.3% well above the target of 7%, when you look into the adjusted number, it’s 5.9%. Simply, we had here an extraordinary effect from a sale of an asset, which we booked and which brought the margin over to 7% and we took some – took the chance to take some reserves in operational areas to be prepared for – for cost increase, et cetera. But in total, we will see for the total year certainly also an unadjusted number of an – sorry, an adjusted number of above 7% which is our target and we have enough let’s say indications that we can deliver also that in the total year. So, and then last but not least, a nice small business area, Separation. Here also everything sets a very favorable profit development and also here we are confident that it will develop as it did in the first half also to future periods. So that’s it from my side and for the numbers. I’ll hand it back to Joachim.
Joachim Schonbeck: So to end, let’s – let’s go to the outlook. We – we still have or we see a solid project and investment activities in our markets. I mean, we have – we have a broad product portfolio on sustainable products and solutions, which our customers really need to – to reach their ESG goals and this is definitely a counterbalancing a bit economic slowdown we see around us. But that is – that is why we would say probably a bit more balanced, we will take these opportunities, we will continue with our – with a strategy that you know of profitable growth, simply did not mention in the call yet that we – that we acquired a small company in Italy, Bonetti for the – to further strengthen our Pulp & Paper Service business which – which we are very happy that we could conclude that the geo-economical challenges, Russian invasion, the Sanctions, the COVID inflation, we are closely monitoring and believe that we can – that we can cope with it. And the financial guidance as it was published has been confirmed. We expect an increase in the revenue compared to last year, an increase in reported EBITA as well as an increase in net income. So that’s – that’s it from my side. Thank you very much for your – for attention and patience and happy to answer any questions you might have.
Michael Buchbauer: Okay, many thanks. We’ve also received some questions. I would like to go ahead now with the Q&A session and I would like to ask Sven Weier to go ahead with his question. Sven, are you there?
Sven Weier: Yeah. Good morning. Thanks, Michael for taking my questions. The first one is actually and maybe a bit more of a rhetoric question to be honest with you, and it’s about the – the order pipeline, you already kindly you know said that you’re cautiously optimistic about the second half. So it seems to me that the situation hasn’t really deteriorated during Q2 on July. But seems a relatively stable pipeline there. And the question I had was, when I look at this EUR 2.2 billion in Q2, there were no mega orders in there, right? And it seems more like, let’s say based business, I mean, is – is what you see in the pipeline supporting such a run rate more or less EUR 2 billion plus, minus.
Joachim Schonbeck: Yeah I mean, mega project. So we had a couple of large orders in here most notably, definitely the pump storage order for – for India. I mean, we definitely know that the large orders are difficult to predict, especially on a quarter-to-quarter basis, but we see activity, I believe was what we have experienced since February, everybody understood that changes usually do not come from waiting. And if we want to – to work on changing our energy supply systems or whatever that actions will be needed. I would say, Andritz is well prepared for these trends. So, we can see – we can see potential for – for new investments to come. But it’s definitely – it’s out of our control to schedule that at a quarter-to-quarter basis for us here. But as I said, there is a – there is a solid outlook.
Sven Weier: And maybe a follow-up as Valmet mentioned that there was a slowdown in one of their Pulp business units, they didn’t say which one. But I mean, is your Pulp business across the all the business units stable as well? Or you see any specific parts in Pulp where there is a bit of a slowing?
Joachim Schonbeck: No, we see – we see stable across. Yeah and even they – they also didn’t tell me which area they’re referring to.
Sven Weier: Yeah, we’re still finding out about that. And the second question I had was just also on Hydro. I mean, another – another good quarter, as you said, also pump storage. I mean, is there still largely the kind of a cyclical development nothing really related yet with regard maybe the climate change, energy crisis we have or are you seeing that also slowly creeping into the pipeline in terms of new projects?
Joachim Schonbeck: We definitely see that, to use your transcribing into the pipeline. I think more and more people understand that if we want to seriously go after this net-zero goal in 2050, this cannot be done without Hydro. Yeah, in terms of volume of renewable energy that you need, but also in using the stabilizing technology, Hydro can provide to stabilize the grids. And is – and as this develops more and more, projects are coming. As you know, the infrastructure to be – to be implemented for Hydro plant is even much larger than that for – for a windmill park. So therefore, these projects need longer, but now we see them coming. And I think also many people start also to understand that Hydro as it driven by gravity has a certain advantage, because unlike wind and sun gravity usually is not shut off and – and remains 24/7 which – which definitely will support also that area, experts expect that Hydro capacity need to be doubled over the next 10 to 12 years in order to reach these goals and we believe that we might have a fair share of that.
Sven Weier: Okay, thank you for that. And the last question is just on the obvious gas exposure, but just was wondering your European production sites, how dependent you are on gas supply and whether you’ve already you know, have made some provisions there in terms of other energy sources just in case the gas supply stops?
Joachim Schonbeck: No, we have – we looked at that. We have an exposure, I would say, the exposure is limited. However, we – we started a program to – to reduce our dependency and switching on alternative heatings for – to other – to other energy sources. But that is only true for our production sites, that’s not true for our heating systems, they – then we have to – there – there we still have to depend, but I would say from October onwards, all our production sites can run without gas or no – no stoppage to be expected there.
Sven Weier: Okay, [technical difficulty] thank you very much. I go back in line.
Michael Buchbauer: Okay. Thank you, Sven. Thank you. Bye-bye. Next one, Ingo Schachel. Ingo, are you there?
Ingo Schachel: Yes and thanks for taking my question. The first one would be on Pulp margins. Of course, you again had a very strong adjusted margin in that area, and the best quarter is probably yet to come in Q4. Is there anything we should keep in mind when sort of thinking about the strong Q2 and Q1 margin, particularly strong, let’s say as unsustainable execution on certain project or – or can yeah that the stronger underlying level be sustained into – into the second half and then of course, then be coupled with a – as usual strong execution in Q4?
Joachim Schonbeck: I think we believe that – that we can remain stable there, we have generally a positive outlook. We expect that the worst on the, let’s say, unusual price hikes that we saw in the first and second quarter that this is – that this is gone. But you never know what is coming if – if Europe is shut – is shut off from gas, then definitely steel prices will see another tremendous increase. So we cannot predict it and we have not – we will – we will cope with it as – as we did it in the second quarter. But if this does not – if this does not happen, then we see we can remain stable in our outlook there.
Ingo Schachel: Okay. Makes sense. And, of course, impressive if you execute well, despite those cost headwinds. But also maybe a question on Hydro aftermarket, if I’m not mistaken, your aftermarket volume in euro terms was – was down double-digit in the second quarter. Can you explain a bit more what – what trends you saw whether it’s primarily locked out and site access restrictions, whether you expect aftermarket activity on the Hydro site to recover quickly in the third quarter?
Joachim Schonbeck: Hydro service was down, was – there was no – there was no special – there was no special impact. I’m not aware – I’m not aware, it might be down on the – on the order intake side, but not on the sales side. But this is only that – that’s more a booking issue, because first quarter we had a, I would say, a rather high amount of service in Rehab business recorded in the order intake.
Ingo Schachel: Okay, that makes sense. And maybe a quick one on cash flow, if I may. As you said, very strong first half number and – and I guess, if we were to follow, let’s say, the optimism on the order pipeline and maybe think about the EUR 2 billion order intake run rate. So if in that scenario expect net working capital to remain stable in the next quarter. So do you see a lot of inventory and receivable build up or a contract liability decrease that will naturally come relating to the – to the very strong orders in the first half and in the next quarters?
Joachim Schonbeck: Yeah, we – we definitely have an increase a buildup of inventories and because all our – all our operations are coping now with the disruption in the supply chain and as many others, we have to build up some – some reserves not to depend on just-in-time deliveries which are not delivered just-in-time. If order intake continues favorably, this will be definitely be counteracted by down payments from customers. So, I would say, I hope that this answers – answers your question.
Ingo Schachel: Yes, it has. Thank you.
Michael Buchbauer: Okay, many thanks, Ingo. There are no further question. We received three questions from Akash Gupta from JP Morgan. Two of them were already answered, but there’s one left. And I will hand it over to Joachim to Norbert. This – the question is, can you discuss the input cost inflation topic? What are you seeing on the input cost side? Are you still raising prices in your new orders or perhaps indexation clauses to offset that impact?
Joachim Schonbeck: Yeah, we – we increased prices according to our cost expectations that we have. We also were able to renegotiate some of our fixed price contracts with our customers as they understand that the situation was definitely beyond our control and beyond anything people – people could expect. In the meanwhile, we have switched, I would say, in – in many industries where this was not usually we switch to price adjusted clauses with escalation clauses in the contracts. So we see – we see a much more stable – stable output in the future. Yeah and then – then we have seen it in the first half of this year where basically the orders we booked end of last year and beginning of this year, where basically did not have any provisions for that.
Michael Buchbauer: Okay. Okay, many thanks. I see that now, Peter Rothenaicher, I think from Baader Helvea, I think wants to ask a question. Peter, are you there?
Peter Rothenaicher: Hello. So, one question regarding order intake. Could you split it up of what was the share of, I would say, higher prices on the one hand due to the cost increases you have and what is volume effect? And on the other hand, what was the FX effect in – in order intake on the positive side?
Joachim Schonbeck: I think Norbert is in a better position to answer this question.
Norbert Nettesheim: Yes. So, I have to unmute. And yeah the FX effect compared to the current year was about on a – on a full year basis, about 200 – about EUR 400 million. So if I – if I take last year’s numbers and calculate them with current – with current exchange rate, I have EUR 400 million more for the full year. So the half year number would be roughly EUR 200 million. So, EUR 200 million is the effect on the exchange rate in the order entry.
Peter Rothenaicher: Okay, and effect of price increases?
Norbert Nettesheim: Yeah, the effect of price increase, I would count somewhere between 2% and 3% and then in some, yes we were able to pass it through and in some areas not. So, I think the cost inflation somewhere between 4% to 6%, depending on the business areas and in – in most of the areas where possible where we are able to pass it through.
Peter Rothenaicher: Then with regard to your one-off effects. You mentioned, the biggest effect on the positive side was obviously a property sale at – at Hydropower. Could you then perhaps more comment about the negative effect you have taken here? You spoke about adjustments, obviously to reflect the cost increase you have. Overall, it would be helpful if you perhaps could – could split it up with regards to the business areas. This would help, I think all our spreadsheet calculations a little bit more.
Norbert Nettesheim: It’s a small number. It’s EUR 10 million asset sale of a property in Germany and it’s nearly EUR 10 million accruals for cost to come, which is one of the very conservative and very careful side of the judgment of the business. When I said, we should concentrate on – on the full year and full year effects certainly will be different. So, it’s on the makeup in unadjusted profitability in Hydro in the second half.
Peter Rothenaicher: And the last point you mentioned you have currently extremely high liquidity. You always said you would be interested in doing some – some more M&A also some – some bigger projects perhaps can you comment on this how do you consider opportunities currently?
Norbert Nettesheim: Joachim?
Joachim Schonbeck: So, we can – we can confirm that we are still highly interested, you know our business areas, I think we have – there was – we have a long wish list and what we see is that, prices are developing favorably on the M&A market so that also poor people like ourselves will be – will be able to – to make deals and if there is anything we can report, you will be among the first to learn about that.
Peter Rothenaicher: Okay, thank you very much.
Michael Buchbauer: Okay. Thank you, Peter. Sven – Sven Weier, do you have a follow-up question or?
Sven Weier: Yes. Thanks, Michael. The first follow-up question is on the Pulp & Paper business. I know that last year, you had quite a positive book-to-bill because it was hard you know for the service people to access the sides. Now I can see that was in the second quarter, some of the Pulp & Paper companies had quite some maintenance shutdowns. So, are you – have you been able to catch up? Or is there still a lot to be caught up on the – on the service backlog in Pulp & Paper?
Joachim Schonbeck: No, I think it’s a – it’s really caught up. Everybody took learnings from the crisis. And we – we have developed technologies that enable the customer also to extend shutdowns. This was historically, we were talking about 12-month shutdowns. Now, many – many plants move into 15 to 18 spends. So, they realized during COVID, that it works, they also understood where to – where to take care of. Yeah. I think that is also a trend and we see this trend continuing and we are supporting that through developing appropriate technology for that. But I think in general, it’s – it’s caught up and it’s now it’s – it’s quite balanced. Let’s see what COVID brings us for the winter to come and then – and then we can – we can see.
Sven Weier: Okay, thanks. The second follow-up I just had coming back on the Hydro adjusted margin, maybe for Norbert. The 6% you had adjusted, it seems to me that’s adjusted for the positive one-off you had, but it’s not adjusted for the provisions you took. Is that – is that – is that the right way of looking at it or?
Norbert Nettesheim: That – that is what I wanted to say, yeah, it’s a little bit unbalanced view, because the provision goes in the adjusted number in the operational part and the extraordinary effect goes into the adjustment.
Sven Weier: And for the full year you said it will be above 7% on an adjusted basis, right?
Joachim Schonbeck: Yeah, we are. Let’ say on the full year, we are confident that we will pretty near to our targets also on the adjusted – on the non-adjusted, sorry. Also on the adjusted for the first – sorry, also on the adjusted for the full year, we are confident that we will achieve our targets.
Sven Weier: Okay. And that’s clear now and thank you and the Separation margin obviously above 11% quite outstanding. Any specific drivers behind that and – and but it sounded like it’s also sound quite sustainable also from here.
Joachim Schonbeck: I think the main – it’s definitely driven by a very favorable mix of Services to Capital. And while the order intake increase is – is mainly – it’s mainly driven by strong increase in Capital orders on the – on the sales. This is not – it’s not yet in, so we have – we see a good – a good trend there.
Sven Weier: Okay, understood. Thank you.
Michael Buchbauer: Okay, thank you. Okay, many thanks as we have no further questions, so we’d like to thank all of you for your questions for – participating in this call and see you next time. Take care. Thank you so much.
Joachim Schonbeck: Thank you very much.
Michael Buchbauer: Bye-bye.
Norbert Nettesheim: Okay. Bye-bye. Thank you.
Michael Buchbauer: Thank you. Thank you.